Operator: Good day, everyone, and welcome to the Appian Corporation Third Quarter 2021 Earnings Call. Today's conference is being recorded.  At this time, I'd like to turn the conference over to Sri Anantha, Director of Investor Relations. Please go ahead, sir.
Srinivas Anantha: Thank you, operator. Good afternoon, and thank you for joining us to review Appian's third quarter 2021 financial results. With me today are Matt Calkins, Chairman and Chief Executive Officer; and Mark Lynch, Chief Financial Officer. After prepared remarks, we will open the call for questions. During this call, we may make statements related to our business that are forward-looking under federal securities laws and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These include comments related to our financial results, trends and guidance for the fourth quarter and full year 2021; the impact of COVID-19 on our business and on the global economy; the benefits of our platform, industry and market trends; our go-to-market and growth strategy; our market opportunity and ability to expand our leadership position; our ability to maintain and upsell existing customers; and our ability to acquire new customers. The words anticipate, continue, estimate, expect, intend, will and similar expressions are intended to identify forward-looking statements or similar indications of future expectations. These statements reflects our beliefs only as of today. They do not represent our views as of any subsequent date. They are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, refer to our 2020 10-K and other periodic filings with the SEC. These documents and the earnings call presentation are available in the Investors section of our website, www.appian.com. Additionally, non-GAAP financial measures will be discussed on this conference call. Refer to the tables in our earnings release and the Investors section of our website for a reconciliation of these measures to their most directly comparable GAAP financial measures. With that, I would like to turn the call to our CEO, Matt Calkins. Matt?
Matthew Calkins: Thanks, Sri, and thanks, everyone, for joining us today. Third quarter of 2021, Appian's cloud subscriptions revenue grew 36% year-over-year to $46.7 million. Subscriptions revenue grew 32% to $67.2 million. Total revenue grew 20% year-over-year to $92.4 million. Our cloud subscriptions revenue retention rate was 117% at quarter end, and our adjusted EBITDA was a loss of $12.0 million.  Two years of global tumult have tested every business' ability to change. Agility is now a top priority for every organization. Companies are scrambling to adapt to new customer buying patterns, new health practices and new regulations. This kind of change is done with software processes. The burden of facilitating change like this falls on the IT department, and expectations of IT have risen dramatically. You can see this in studies like the one that Appian sponsored with the Economist Intelligence Unit this autumn.  The IT department has finally found the spotlight. When I was a consultant in the '90s, I visited a lot of IT departments to tune their databases. And they had the worst real estate, satellite buildings, low ceilings, basement floors. IT got the worst of it because it was considered less important. That is changing now. After 2 years of COVID, IT is a hero, important like marketing or finance. Without enterprise technology, we couldn't have been productive through the pandemic. Imagine if we'd approach the plague of 2020 with the technology of 2010 even. What a difference modern technology has made to enable dispersed productivity and adopt new processes. IT saved the economy these last's 2 years. So that's the preamble.  But here's my thesis. Organizations need the ability to change above all, and they need IT to deliver. With that in mind, over the past 2 years, Appian has created exactly the product we think IT departments need now: a change engine. Our goal is to assemble a set of technologies that will enable businesses to create new processes the fastest. Workflow is the heart of it, of course, because that's, in my opinion, the world's fastest and most intuitive way to program. But we've gone way beyond workflow now. We have a suite. It begins in discovery, finding your next opportunity for process improvement. And it ends in automation, executing your new processes with a full complement of digital workers. Appian's change engine starts with process mining. Process mining is a new industry. It's like an x-ray, peering inside your business to detect inefficiency and recommend improvements. Process mining by itself is just a diagnostic, but when coupled with workflow, it becomes actionable and powerful. Now the diagnosis can be followed automatically by the cure. The cure is creating a workflow to coordinate the inefficient processes you found. For all the excitement in this emerging consolidated market, few firms can claim to be strong in workflow. Appian has been a top leader in this technology for more than a decade. Workflow delegates, it sources data and routes work, but it doesn't do the work. What's not done by people these days is done by automation, which is to say by digital workers. Digital workers include RPA bots, AI, intelligent document processing and business rules. And they work best in concert, each handling those jobs for which they are best suited. Appian has spent the last 2 years assembling a product suite that fits this moment. Our product is a change engine, getting clients from 0 to 60 on a new process as fast as technology can enable in the same platform with all native Appian technology. Our clients can go from discovering a new process to designing it to automating it. I'd like to share some examples of how our customers use these tools together. Entirely by coincidence, my first 2 stories feature luxury automakers. First, a leading European car brand became a new Appian customer earlier this year. It's modernizing its business to save tens of millions of dollars annually. It uses Appian to digitize supply chain processes, including the movement of car parts across Europe under Brexit regulations. Our platform coordinates shipping agents and RPA bots to complete this work in collaboration. In Q3, it purchased thousands of new licenses to add third-party logistics providers to its workflow. While these projects are underway, the company will also mine processes in its financial and procurement groups to discover future Appian projects. This story has it all. The entire suite used together and synergies everywhere. Our next automotive manufacturer story involves an international luxury car brand that became a new customer this quarter. It selected our low-code to quickly unify its business. Appian is consolidating enterprise systems, so the company can assess inventory and launch promotions that incentivize dealerships to sell cars faster. Before Appian, the company was slow to deliver these incentives. Its incomplete systems required manual workarounds. We won this deal after proving our speed by building complex proof of concepts in just 1 week. We're seeing good international growth. I'll mention a few notable international deals. First, we landed a sizable expansion at a global elevator manufacturer and logistics provider, making it a multimillion dollar customer. The company uses our platform to manage customer installations. In Q3, it purchased more licenses to manage global installations and quality inspections. Field installers will use an Appian mobile app to report their progress, while corporate workers at desktops monitor their locations. Inspectors will later visit sites and use Appian to report on installation quality. Before, the company lacked visibility on dispatched workers and paid penalty fees for late projects. We won this deal because our low-code allows the company to deliver timely projects and meet quality standards. Second, a top global bank, second example. Top global bank and existing Appian customer purchased a 7-figure software deal in Q3. The group runs a large Appian center of excellence with hundreds of internal resources and partner developers. They've built dozens of applications to automate processes across their enterprise, including audit, compliance, customer management and corporate operations. This quarter, they bought more licenses to deploy additional applications. Finally, a restaurant franchise and licensing chain needs to digitize its process for onboarding and managing international franchisees. It became an Appian customer in Q3. It bought Appian, including a solution written by an Appian partner, and I love it when that happens, to orchestrate its franchisee life cycle. Before, the company managed franchise relationships manually because it couldn't unify its systems and data and employees into a single workflow. Now with Appian, the company will run its processes 30% faster and open more than 10,000 new restaurants in the next decade. Our federal sector also performed well this quarter. Several customers made large software purchases for new applications. My first example is a U.S. government organization that administers federal funding. This long-term Appian customer added licenses multiple times this year. In Q2, it bought licenses to provide process funding requests for constituent groups in accordance with a federal relief mandate. The app was delivered in just weeks, and tens of thousands of users have been approved for billions of dollars.  Now in Q3, it again purchased software to approve facilities-related funding requests for health care groups. We won this deal because our low-code is flexible and can deliver the customer's new project before the end of the year. Another federal organization that implements monetary policy became a new Appian customer in Q2 of this year. It selected our platform to manage its mergers and acquisitions process for banks nationwide. A quarter later, it bought more software to modernize a legacy regulatory system. Appian will consolidate disparate systems and provide governance for thousands of users. In just 2 quarters, the group became a multimillion-dollar Appian customer. Our federal vertical did well this quarter partly due to the popularity of one solution called Government Acquisition Management or G-A-M or GAM. It's actually a suite of 4 distinct solutions written by Appian on the Appian platform that manage the highly regulated federal procurement life cycle. These solutions gather requirements, complete vendor evaluation and source selections, award contracts and automate contract clause-writing processes.  Appian solutions, including GAM, are written to be used together. They're standardized, and they upgrade with our platform. They share common data definitions and common reports, and they feature built-in calls that talk to each other. It is traditional amongst our customers and our competitors to view these applications in silos, but Appian brings them together. Integration and compatibility is a theme for us. It was true for the components in our change engine, and it's true for our solutions. Customers love being able to run their end-to-end procurement cycle on one platform. It can give them faster throughput, better data visibility and better decision making. Some Appian customers buy all 4 GAM solutions at once. Others start with just one and later expand by purchasing the remaining solutions. For example, a federal defense agency purchased our full GAM solutions suite and became a new Appian customer in Q3. The agency chose Appian to modernize its costly and inflexible legacy system. It will deploy Appian to over 1,000 users, who will process billions of dollars and awards annually. We won this deal after automating the procurement life cycle of other federal agencies, who serve as happy references for us.  Another federal defense command overseeing national cybersecurity needs an enterprise-grade procurement system. It selected Appian and became a new customer last year. It started by purchasing one of our GAM solutions, Requirements Management. Now in Q3, it purchased a second GAM solution, Awards Management, to automate the next phase of its build-out. Appian is a low-code pioneer. We were the first to go public as a low-code vendor several years ago. Now we're realizing the next generation of this technology. It's more than just workflow now. It's a change engine with the power of process mining, workflow and automation combined in a single platform.  Now I'll turn the call over to Mark for a deeper discussion of our financials. Mark?
Mark Lynch: Thanks, Matt. I'll review the financial highlights for the quarter, and then we'll provide details on our Q4 and full year 2021 guidance. Cloud subscription revenue for the third quarter was $46.7 million, an increase of 36% year-over-year and above the top end of our guidance. Our total subscriptions revenue was $67.2 million, an increase of 32% year-over-year. We're pleased with the continued strength of cloud subscription revenue and overall subscriptions revenue. Professional services revenue was $25.2 million, down 5% from $26.5 million in the prior year period and down 3% from $26.1 million in the prior quarter. As noted in the past, partners continue to be a larger part of our ecosystem. They help us sell software, and they perform their professional services work with respect to any new services contracts they sign. As the usage of partners expands over time, we expect subscriptions revenue as a proportion of total revenue to increase relative to professional services. Subscriptions revenue was 73% of total revenue in the third quarter and 71% for the first 9 months of 2021 as compared to 66% and 64%, respectively, in the prior year periods.  Total revenue in the third quarter was $92.4 million, an increase of 20% year-over-year and also above our guidance range. Our cloud subscription revenue retention rate as of September 30 was 117% as compared to 115% in the year ago period. We are pleased with our customers' expanded use of our platform. As a reminder, we continue to target a cloud subscription revenue retention rate of 110% to 120% on a quarterly basis. Our international operations contributed 32% of total revenue for Q3 2021, which is consistent with the year-ago period and demonstrates the balance of our business, both domestically and internationally. Our cloud software ACV bookings was approximately 80% of total software bookings in the first 9 months of 2021, which was consistent with the full year of 2020. Now I'll turn to our profitability metrics. For the third quarter 2021 and 2020, our non-GAAP gross profit margin was 73% in each respective period. Subscriptions non-GAAP gross profit margin was 90% in the third quarter 2021, consistent with the year ago period. Our non-GAAP professional services gross profit margin was 26% in the third quarter compared to 40% in the same quarter of 2020. The services gross profit margin last year was positively impacted by a reduction in services performed by subcontractors and decreased travel and entertainment costs. Moving forward, we expect our services gross margins to decrease to the low 20% range as we dedicate more customer success resources to support partners. Total non-GAAP operating expenses in the third quarter were $80.5 million, an increase of 33% from $60.3 million in the year ago period. Adjusted EBITDA loss was $12 million in the third quarter within our guidance range and compared to an adjusted EBITDA loss of $2.4 million in the year ago period. In the third quarter, we had approximately $2.3 million of foreign exchange losses compared to a gain of $3.3 million in the year ago period. We don't forecast movements in FX rates. Therefore, they aren't considered in our guidance. Non-GAAP net loss was $15.9 million for the third quarter 2021 or a loss of $0.22 per basic and diluted share compared to non-GAAP net loss of $34,000 or breakeven per basic and diluted share for the third quarter 2020. This is based on 71.1 million basic and diluted shares outstanding for the third quarter 2021 and 69.9 million basic and diluted shares outstanding for the third quarter of 2020. It is important to note that our non-GAAP net loss was negatively impacted by the $2.3 million of foreign exchange losses or a loss of $0.03 per share, which was not included in our original guidance. Turning to our balance sheet. As of September 30, 2021, cash and cash equivalents and investments were $188.5 million compared with $258.4 million as of December 31, 2020. For the third quarter, cash used by operations was $25.1 million versus $6.5 million for the same period last year. For the 9 months ended September 30, 2021, cash used in operations was $34.5 million versus $13.5 million for the same period last year. The increase in cash used by operations during Q3 was predominantly due to slower collections in the quarter. We expect to have strong collections in Q4, which should significantly reduce the cash used in operations for the quarter. As a reminder, we paid $30.7 million of cash for the Lana Labs acquisition during Q3, along with an equity component that vests over time. As we return to the office, we will need to build out additional office space. Capital expenditures will be approximately $3 million to $4 million in Q4 2021. Total deferred revenue was $124.9 million as of September 30, 2021, an increase of 7% from the prior quarter and 23% from the year ago period. As we've stated in our past calls, the majority of our customers are invoiced on an annual upfront basis, but we also have large customers that are billed quarterly or monthly. Due to the variability of our building terms, changes in deferred revenue are not generally indicative of the momentum in our business. Now turning to guidance. As a reminder, we believe cloud subscription revenue measures the growth of our subscription business. The true scale of the business is represented by total subscriptions revenue, which includes support in all subscription revenue regardless of whether the customer deploys Appian in the cloud or on-prem.  For the fourth quarter 2021, cloud subscription revenue is expected to be in the range of $48.8 million to $49.3 million, representing year-over-year growth of 32% and 33%. Total revenue is expected to be in the range of $95 million to $95.5 million, representing year-over-year growth between 16% and 17%.  As partners continue to perform more services work, we expect a portion of professional services revenue within our total revenue to continue to decline. This is implicit in our total revenue guidance. In situations where partners -- or when partners help us win a new logo, they generally perform the services. Adjusted EBITDA loss is expected to be in the range of $15 million to $13 million. Non-GAAP net loss per share is expected to be between $0.24 and $0.21. This assumes 71.2 million basic and diluted common shares outstanding. Our operating expenses forecast includes incremental investments in Lana Labs, go-to-market strategy, sales and marketing and some expenses normalizing as we return to the office. For the full year 2021, cloud subscription revenue is expected to be in the range of $177 million to $177.5 million, representing year-over-year growth of approximately 37%. This compares to prior guidance of $174 million to $175 million. Total revenue is expected to be in the range of $359.3 million to $359.8 million versus prior guidance of $355 million to $357 million. Adjusted EBITDA loss is expected to be in the range of $43 million to $41 million and compared to prior guidance of $40 million and $38 million. Non-GAAP net loss per share is expected to be between $0.75 and $0.73 compared to prior guidance of $0.68 to $0.65. This assumes 71.1 million basic and diluted common shares outstanding. Given the large market opportunity in front of us and the healthy customer unit economics, we expect these higher levels of forecasted investments in Q4 2021 to continue going forward. So in summary, we are excited about the growth opportunities ahead of us. We're making disciplined investments to accelerate go-to-market success and continue to expand our platform to address the large and growing market opportunity. With that, let's turn it over to questions.
Operator: [Operator Instructions]. And our first question will come from Bhavan Suri with William Blair. [Operator Instructions]. I'm sorry, Bhavan, we're still not able to hear you. Please check your mute function.
Arjun Bhatia: Hello? Can you hear me now?
Matthew Calkins: We can. We can.
Arjun Bhatia: Sorry. This is Arjun on for Bhavan. Sorry about the technical difficulties there. Maybe to start off with, Matt, I know you talked about becoming a change engine. Can you maybe just -- I understand how the technology will play into that. What else do you need to do to help your -- to help guide your customers to become more agile? Is there anything that you need to do from a change management perspective, from a process perspective that will help them really guide -- help guide them through this journey outside of just providing them the workflow, the process mining, et cetera? How do you think about that aspect of it?
Matthew Calkins: Yes, absolutely. It would be one thing to just have these different sets of functionality as a portfolio, and it's quite another to integrate them deeply and present them as a unified suite. If we focus and we are focusing on the synergy, not merely on the breadth of the suite, but on the synergy between the pieces, we can smooth out all the corners and take out all the friction that slows down a customer as they proceed through the steps from discovering their process, to designing their process, to automating their process. We want that to flow incredibly easily. And so we're targeting any step that would have caused them confusion or delay. We're making those as easy as possible to draw the user through the sequence. So it's not enough merely to provide the technology, you have to streamline the sequence. And that's the other thing we're focusing on. We're also providing education that allows people to see how it can work. We've got demos that showcase it. We've got a community addition with training videos that teaches our users for free, even our prospective users, how this technology can help them and how each part of it can be brought to bear in an easy way. The technology alone is not enough. You have to facilitate it, educate it and then popularize it. We're working on those elements as well.
Arjun Bhatia: Understood. Very helpful. And then I would love to hear maybe just some commentary on what you're seeing in the pipeline. I know the guidance does imply a little bit of a step down in growth. We saw a bit of a sequential tick down in net retention.  Can you just talk about how customer expansions are trending? What you're seeing in terms of Q4 demand, both from a net new perspective and expansion front? That would be super helpful.
Matthew Calkins: Yes. I feel good about the pipeline, about the expansion. Yes, that net NRR is always going to fluctuate a little bit. It's in the range we're expecting. I think it is healthy. And I believe that our pipeline and our opportunity is healthy as well.
Mark Lynch: Yes. And I think in the guide itself, there's the typical that being conservatism baked in there as well.
Matthew Calkins: So I let you say it.
Arjun Bhatia: We can't go without that. Last one for me and then I'll cede the floor. The -- it sounded like international was having a great quarter. Is there anything you're seeing that's different about international markets, either in terms of they're coming -- whether they're coming a little bit later to the low-code investment cycle? Or are there specific investments that you've made in the partner channel and the go-to-market motion that we're now starting to see the international motion get going and have some strong quarters here?
Matthew Calkins: We have seen some strength in international. You're right about that. And there are some trends that indicate that low code and a change engine, like I'm talking about today, could be breaking out. International maturation is one of those trends.  Another one, which crosses my mind just earlier today, is the great resignation. You probably heard of it how employees are leaving their employers more frequently now. And this puts pressure on organizations that need to create new processes, new applications with perhaps less expertise on hand or yes or maybe just newer expertise on hand. So it's got to be intuitive.  You see the bar has to be lowered for how difficult it is to make a new application, make a new process. Volatility of labor, scarcity of labor is another reason why low code is important. So yes, I see a number of trends pointing in our way.
Operator: And we'll take our next question from Sanjit Singh with Morgan Stanley.
Unidentified Analyst: This is Elizabeth on for Sanjit. Could you provide some color on the uptake or adoption of RPA and how it's changed year-over-year? And also, any early feedback on the process mining application would be really helpful.
Matthew Calkins: Yes. Yes, that's right. Thanks for the question. So RPA is being adopted as a complement to workflow. So when it's used in confluence, in partnership with workflow, we see strong adoption. We don't see standalone RPA, we're not going for it. So for us, to be blunt about it, RPA is a feature. RPA is not a product. We see strong interest in it as a feature, as part of our suite, but we're not pursuing it as a standalone market.
Unidentified Analyst: Got it. And then...
Matthew Calkins: Process mining, I'm sorry, I'll speak to that as well. In both cases, lots of data interest, right, lots of enthusiasm. I think that the process mining functionality, reaches the point of intuitiveness so easily. I'm really enjoying pitching it to our customers. Not many of them are using it, obviously, because we haven't launched it yet under the Appian brand, but they love it when they hear it.  It makes sense, they completely understand how you would start with a process mining analysis and move the workflow and how you would transition a process mining map to a workflow model. So the intuitiveness factor is very high, but the organic interest is very high. And the beta interest is strong, I could speak to just that, but it's not here yet, under Appian.
Unidentified Analyst: Got it. And then just another one on the new pricing model that was announced. It may be early, but any response kind of from the customer base on how they feel about the effort-based pricing models?
Matthew Calkins: Yes. You're talking about Appian Unlimited, where we're charging for a -- we're letting our customers subscribe to applications according to how long it took to build them. I like this model because it's a proxy for the value of the application and all of our prices. We're just going to be a proxy anyway. So why not pick an exceptionally simple one. It also incents them to fully staff their Appian deployment to get every last person months' worth out of the contracts they signed. And I like that, and partners like it because it means that our customers want expertise.  This model has been popular. We have not shifted our entire user base over to this model, and I don't expect that we ever will. In my opinion, this model works better for the second sale than the first sale because what you must have in order to make a sale based on your productivity, it is -- you have to establish in the mind of the buyer that Appian is a means to efficient production.  If it's not clear to the customer how fast they can develop a new application on Appian, then they won't be impressed by the price relative to what they think they can accomplish in that frame of time. So what I prefer to do is sell one application based on old methods, maybe an Appian Guarantee, 8-week drop-in or perhaps a per user license, something like that.  And then the second application, now that they see how efficient we are and how we multiply the speed of development, now we let loose their creativity and offer them an Appian Unlimited license. So that's typically how it's going to go, which I think means that it's going to take a little time to reach its full potential. It is still a minority of our customers who are using an Appian Unlimited license, but I like its simplicity. I like how it shorten sales cycles. I like how it's not really matched by what our competitors are doing and how customers can intuitively understand what they'll pay for what they get.
Operator: And we'll take our next question from Fred Havemeyer with Macquarie.
Frederick Havemeyer: [Technical Difficulty] about government, given that this is typically your strongest government quarter. It looks like some of the momentum...
Matthew Calkins: That's a little low. Can we make that a little bit louder, please, Fred?
Srinivas Anantha: Fred, we couldn't hear you.
Frederick Havemeyer: Let me try, let me drop the headset and see if this is any better.
Matthew Calkins: That's better.
Frederick Havemeyer: Perfect. I wanted to ask about government. Typically, this is your strongest government quarter, and certainly, you were calling out government during the -- your prepared remarks here. It was looking like when I'm taking a look at the 10-Q that the government year-over-year growth is slowing a bit, certainly against a stronger back half of 2020 showing. So I'd like to ask about this.  What -- can you talk about the dynamics that you're seeing with your government vertical and how this is impacting your revenue line? And whether any of this is also reflecting government pension for purchasing more term licenses versus cloud?
Mark Lynch: Yes. Well, one thing, the growth rates in the Q could be distorted based on professional services versus software. From a software perspective, the quarter was really strong. And Matt called out some of the successes that we had in the vertical itself. So the vertical continues to be our second strongest vertical out there. So we're real pleased with that.
Matthew Calkins: It's also our number one solution success story now. I mean, I would say this is the solution I am most excited about at this point, the Government Acquisition Manager. It's got 4 components, and they're -- it's being adopted the way I hoped it would be starting with one piece and then expanding to the others, using that easy integration to make it so the next purchase is a no-brainer and just moving along through the procurement cycle. So that's a great trend. I feel like we posted solid results in the government this quarter.
Srinivas Anantha: And Fred, just to clarify, most of the revenue in the government vertical is subscription. There is no term license.
Mark Lynch: Yes. Like the vast majority of the bookings this quarter were cloud, and it's all subscription.
Frederick Havemeyer: All helpful there, especially the call out of pro serv and the mix, I think, in the revenue last year. As a separate follow-up question, could you also talk about your competitive landscape? With more low and no-code startups in the market and larger software vendors talking a lot about low-code lately, again, I know you touched on this in your prepared remarks a bit, but seeing any different faces in your deal cycle at this point? And how are your win rates progressing overall?
Matthew Calkins: Yes. Let me talk about both of those individually, both the start-ups and the established players who are starting to talk about low-code. And before I get into it, let me start by saying that our win rates are rising, and we were very pleased with our win rate this quarter. The start-ups, they are not a concern right now. We don't see them. They're not serious competition because Appian is at the top of the pyramid in this market. We're the high-end industrial scale version of low-code, and the start-ups are going to come in at the bottom. So we don't see direct competition from them.  And as for the large firms, the stack vendors, the big tech firms that are talking about low-code, they're certainly going to get their piece. They've got their captive customers. They're going to sell low-code into a lot of them, but their product is not competitive, in my opinion, not competitive. And so they're also whetting a lot of appetites that they cannot satiate. And so I think part of what they're doing is beneficial for us, even while they are going to claim their fair share, so to speak, of the low-code demand.
Operator: And our next question will come from Derrick Wood with Cowen and Company.
Andrew Sherman: It's Andrew on for Derrick. Matt, the big restaurants win is interesting. It's outside of your core verticals. Maybe just talk more about that deal, how it came about? And could this potentially be a new vertical of focus for you?
Matthew Calkins: Yes. I love this. Actually, this story. It shows how the concept that we are exploring, developing applies everywhere, right? It applies in food and entertainment. It applies in travel. It applies in energy. It applies in education. It applies in -- you see every business of scale in the world is facing the same problem. They have to change.  Nobody's business is staying the same versus 2 years ago. They're all in the midst of a rapid turnover, and they've all got to learn to be faster than they have been before. Some businesses have used change to survive. Other businesses have used change to differentiate, and they're going to keep using it as a weapon to defeat their opponents.  I think there's like an arms race now, like an arms race in agility. And Appian is purveyor of agility. Our goal right now, and I tried to make it real clear in the prepared remarks, but our goal as an organization is to collect and combine those technologies that allow the company to create change the fastest.  And so I'm delighted to see a big win outside of our traditional industries. It just shows how the value of change is rising in other industries. I think the reason why we did so well early on financial services because the value of a great process was already so high in financial services because it was a matter of a lot of money. It was a matter of abiding by the law, right? Because so much money flowed through those processes, that was the natural first place where we would get a real foothold.  And then government was another natural one and pharmaceutical. You can see why our major industries were intuitively our major industries at the beginning. But over time, you see the value of change and agility rising in other fields. And so I think it's a trend. I think we're going to see more major deals in noncore industries because every business needs to change now.
Andrew Sherman: That's great. And maybe just any commentary on how sales rep hiring is trending versus your plans? And do you feel like you have enough sales capacity heading into next year?
Matthew Calkins: I think we have enough sales capacity. And yes, we are hiring. We are moving as fast as we can.
Operator: And now we'll take a question from Terry Tillman with Truist.
Joseph Meares: This is Joe Meares on for Terry. You recently talked about evolving the company's marketing strategy. I think there are 3 pillars of that: elevating the message; building a pipeline; and increasing market awareness. So I'm just wondering if there are any concrete steps you guys took this quarter aside from the Analyst Day and what's the game plan for 2022 to knock on these pillars?
Matthew Calkins: Yes. Well, we're working hard on building our community. That's an area of investment lately. We want to be sure that there is a large ecosystem surrounding the Appian technology and organization. And so as many people as we can educate and inspire and empower with the community, we want to do that, and we've put particular emphasis on that lately. So maybe that's a bit of a enhancement on those 3 areas of marketing that we discussed previously.
Joseph Meares: Got it. And then just as a follow-up. At the Analyst Day, you talked about a $60 billion TAM opportunity. And I was a little surprised that process mining was only $1 billion. It just seems like such a massive white space right now. Is that just Appian conservatism there? Or is it because the acquisition is so recent? I guess what's the thought process behind the $1 billion TAM for process mining?
Matthew Calkins: Yes. I was quoting other organizations for credibility's sake, but I don't actually believe their numbers. I think that they had some of the -- some of them were over or understated. And I would have listed them differently. I will say that whatever size you think process mining is today, it's going up. The reason it's going up is because it has heretofore been an incomplete industry for the fact that what it diagnosed, it could not address. And by combining it with workflow, I think we're taking a major step for the process mining industry. I think that we're giving it the thing it's always been missing. And that's going to make it a much larger, more important, more popular offering than it has been.
Operator: Next, we'll take a question from Jack Andrews with Needham.
Jon Andrews: One of the other opportunities you talked about at your Analyst Day was the expansion of your TAM beyond the Global 2000. And so what do you think is going to be the same and maybe what might be different as you potentially expand into smaller organizations?
Matthew Calkins: Yes. I think there's a big opportunity beyond the Global 2000, and we are seeing momentum there. So we mean to invest and pursue. I think that typically, the smaller the organization, the less insists on perfection in a new process, the less it wants to invest. They're willing to take 80% instead of invest to get 95% or 100%. They want something simple.  Our platform has become radically simpler over the past year with the education videos, the free training. The community addition allows people to test it out and migrate the things they create into GA later on. We're making our technology much more accessible. That's part of the outreach to these buyers.  Another is to have education amongst partners. They've probably got a partner they trust. They don't want a new one. We want to be sure that the partner they trust is a partner that knows Appian. They can get them to success quickly.  And then third, they're facing this industry today with some trepidation because they see process mining, workflow and automation, which occur naturally in sequence, coming from 3 different vendors. And it's important that I don't understate the benefit to these investment-shy organizations of taking away the friction between those 3 elements, allowing a common view of data, common definition, common reports, common migration, a unified experience means a lot. And it's often this moment of unity that actually brings in the non-Global 2000. Like this is the flag that starts the race for a lot of these firms. It's now safe because it's been unified. It's safe because you've got a reliable vendor that can get you from one end to the other. I think this is a sign that some of them are waiting for, and we want to be the firm that facilitates their entry into consumership in this market.
Jon Andrews: It was actually your perspective on that. If I could just ask a follow-up question, getting back to the new licensing model. Matt, you mentioned that you think it works better for the second sale. So could you provide a sense as to how we should think about the potential impact on your expansion rate if there'd be any sort of difference in cadence to the expansions?
Matthew Calkins: Yes. I don't know that it would make much of a difference in the expansion rate actually. I think it might in the long run because if they buy an unlimited license, they have a reason to invest in maximum capacity early on in their Appian life cycle. And so I could imagine a couple of years hence that they would continue building because they've trained up, they've standardized on our technology. I think it might have a long-term perpetuating effect. So maybe it does, maybe it does affect the growth rate.  I was thinking early on it wouldn't because they have already locked in the spend that they were going to make for the next year. You see they've already decided that they've got now a license to build every new application. And so for the next 12 months, whatever they build, it's already covered. But that they're much more likely to build more in the second year. So I think that post first year, it could have an impact on net revenue retention.
Mark Lynch: And I think as Matt had mentioned, we just rolled it out recently. So it's just too early to tell how it's going to impact the NRR. The thing I like about it is you get a customer, and they're basically building multiple applications. So they do a 1-year unlimited, and they think they can build 7 apps. They're going to be incredibly sticky once they get done with the 7 apps, and they probably want to do more.  So it's just another way to license it, trying to remove the friction, shorten the sales cycle. And we'll see what happens as it relates to the expansion. But it's -- as you guys know, we try different novel licensing techniques every year. And this is the newest, latest and greatest, but it's actually gaining traction. So...
Matthew Calkins: There's another good thing you can do with it, definitely one thing. And what I originally intended most of all to be used for was the customer would buy a year's worth of development time, and then they would just develop as much as they could. And they train up and they'd hire our consultants or partners' consultants. And they would go to work building maximum amounts of Appian license. I mean that's the ideal usage pattern.  But it's also been a pretty useful framework to have in place for pricing small introductory deals. If a client wants a deal in the past, we would have tried to appraise the value of that new application and give it an application price. And that's a pretty subjective discipline.  And now we can just guess something like, "Hey, this will probably take 2 months to write. How about we just give you the 2-month price?" And it short circuits or shortcuts what would have otherwise been a long dialogue on exactly how important this application is. I like it just as a shortcut to a pricing outcome. So it's also been useful for that.
Operator: Next, we'll hear from Steve Enders with KeyBanc.
Steven Enders: Great. You made a comment earlier about GAM and how it's driving easier adoption and expansion trends within your customers since they can land with some specific use cases. Just wondering kind of what you can or how you can apply this kind of same idea to kind of a general enterprises out there and kind of really drive a further expansion opportunity within those accounts?
Matthew Calkins: Yes. This solutions model that we're working on that allow solutions for the same industry to be built, compatible, pre-integrated even with a common look and feel, I mean, we're creating them like puzzle pieces to snap into each other is good in any industry. And this will also help expansion, by the way. It makes it such an easy decision if you've got one of them. First, you found Appian because you had one problem. You bought the solution that solves that problem. And then a year later, you find that we can help you expand to a contiguous area or take that data and just flow it forward and solve the next problem. It's such an easy decision.  This is the strategy I want to run everywhere we do solutions, and I'm encouraging our partners who build solutions on the Appian platform to do it, too. I think it's a winning model. In fact, I think that we as software consumers like the universe of enterprise software consumers doesn't expect enough of integration and compatibility. We've become accustomed to poor compatibility because different applications typically come from different vendors. And they are incentivized to keep their data for themselves and to have -- to put up a wall instead of put up a door. And we don't need to do that.  There's no reason why an application or a solution on the Appian platform needs to be a silo. I would just encourage buyers generally to stop tolerating silos. One of the things I hope to accomplish with Appian is to get people to think beyond the silo and to expect that applications, which sit side by side, will, in fact, feel so seamlessly integrated that you can't even tell they're 2 separate applications.
Steven Enders: Okay. Great. That's very, very helpful. And then maybe for Mark, just on some of the incremental investments that you're making in Q4. It sounds like it was more targeted at Lana Labs and go to market. But just kind of wondering if you can give a little bit more detail or specifics around where those investments are heading towards, particularly on the go-to-market side?
Mark Lynch: Obviously, we talked about hiring, ramping up the sales reps, AEs. For every sales rep you hire, you've got a whole herd of folks following that sales rep around. But I think the other piece that was clearly stated in my prepared remarks was the -- we're focusing -- taking customer success folks, and that's why the margins are coming down. And we're helping enable the -- trying to get the partner channel enable quicker. And so those are investments that we're making, concerted investments making, taking global people and making them nonglobal. And obviously, that's a double whammy as it relates to investments.  But I think from our perspective, it's a no brainer. What we've noticed is that where our customer success folks are involved in projects, the NRR is 20% higher. So we want to get out there and enable the partners, but also be in a position to help touch those projects as well.
Operator: Our next question will come from Kingsley Crane with Berenberg.
William Crane: So with some of your newer offerings like RPA and process mining, do you feel like your customers are constrained in terms of adopting those? And then how much are you funneling that enthusiasm for those products into the workflow management side of things?
Matthew Calkins: Yes. Well, it's important for us to note when we come to a new customer, and we're selling not just workflow but also process mining, RPA and all the other automation components that we are not there to displace the RPA company or probably several RPA companies that already exist in that organization. We're there to use RPA as a feature, supporting the low-code functionality that they get out of Appian.  They're going to build an application in Appian. They're going to build a process in Appian. And that process or that application is going to feature RPA. It's going to use robotic process automation as a way to do some of the work that it does. That's what we're trying to accomplish with RPA. It would be tempting to say now we have this product, let's contest the RPA market. But I believe that, that would be overlooking the synergy, which is our best feature right now. So I want to be able -- I want to be sure we train our guns at our greatest opportunity, which is the synergy between each of these components.  And so when we go into a new customer, we're not looking to pick a fight with whoever their favorite RPA vendor is. We're trying to say RPA absolutely belongs as part of your change engine, part of your low-code suite, and we've got it. And so wherever in your low-code suite you need RPA, here it is. It's a great functionality. It's well integrated. It's cost effective. And so it should be an easy choice to use within the Appian sphere.
William Crane: That's good to hear. Makes perfect sense. So would you still say that for some customers, they could be using process mining, RPA and workflow management all from Appian and that could be sufficient?
Matthew Calkins: Oh, absolutely. And that's what I expect. But they will do that in some cases. We just want to get there by first introducing Appian, letting them see how good this is, see the commercial terms, which are very advantageous and then make their own decision, whether they want to use our RPA across the rest of the organization. But we'll start with the Appian sphere.
Operator: And our next question will come from Vinod Srinivasaraghavan from Barclays.
Vinod Srinivasaraghavan: Just wanted to get an update on Appian Community Edition, which you launched in July. Can you just talk about the interest you're seeing in that so far? And how do you kind of encourage conversions to paid plans? And what's kind of the lever that pushes a customer to potentially go to a paid plan?
Matthew Calkins: Yes. The interest in that is sharply up. And the reason they want to pay is because you can't run it until you pay. You can play around with it. It's a sandbox. You can build some objects, but you can't do anything in production until you pay.  So it's an exceptional place to learn, a lot of free education. It's got some free content loaded in that you can play with. We try to make it as intuitive and engaging and inviting as possible. But to do anything of business value, they will have to pay. And by the way, the uptake has been terrific. We've seen a lot of growth in the ACE environment.
Vinod Srinivasaraghavan: Good to hear. And then typically, do customers move to your application pricing tier first? Or in some cases, do they move to the unlimited pricing model that you talked about?
Matthew Calkins: Well, they could go either way. And since unlimited is sometimes used just as a framework for saying what an application price could be, you could say that we use unlimited rather a lot because it's a good way to shortcut to a price number. I would say most of the time, they don't go unlimited following an experimental time in the ACE environment. Usually, that's not enough to establish our efficiency. They need to see something brought to production.
Operator: [Operator Instructions]. And we have no further questions queued at this time. So I'll turn things back over to our speakers for any additional or closing remarks.
Matthew Calkins: I just want to thank everyone for their interest. It's a pleasure talking to you this evening.
Mark Lynch: Thank you.
Operator: And this does conclude today's call. Thank you for your participation. You may now disconnect.